Linda Aase: Hello, everyone, and welcome to this Presentation of SalMar's Results for the Second Quarter of 2022. And my name is Linda Litlekalsoy Aase and I'm the new CEO in SalMar. Together with me today, I have our CFO, Gunnar Nielsen. On today's presentation, we'll follow the same pattern as previous quarterly presentation. I will take you through some of the quarter's highlights before our CFO, Gunnar will dig deeper into the details. And finally, I will be focusing on further sustainable growth of our business and give an update on our bid for NTS and merger with NRS. Before I would conclude with a review of the outlook going forward. In the second quarter of 2022, SalMar continues to deliver strong operational performance, driven by the fantastic effort all of our employees put in every single day in the entire value chain, both at sea and online. This has resulted in solid results in the quarter with record higher quartet -- record quotations for the salmon price. In total, for Norway, we harvested 29,400 tonnes with a margin of NOK32.34 per kilo and this gave us an operational EBIT of NOK952 million. Including Icelandic Salmon and SalMar Aker Ocean, we harvested 32,400 tonnes with an operational EBIT of NOK1.05 billion to a margin of NOK32.35 per kilo. And farming segments deliver record margins driven by the record strong salmon prices. Northern Norway continues the solid trend with a strong biological and operational performance and Central Norway with stable cost level due to continued solid performance. And Iceland delivered record strong margins driven by solid price achievements and stable cost development. And for the sales and industry, we are very satisfied with operational achievements in the segment where our highly skilled employees have put a solid effort. But as expected financially and unfortunately, weak figures are delivered from this segment as the record high salmon prices have had a negative effect on our fixed price contract in the quarter. There is work going on, on taking big steps offshore and that continues according to plan. And in the quarter some important steps has been taken in further progress. And the figures I mentioned do not include settlement costs related to the lawsuit in North America, which in the second quarter negatively affects our figures, but with approximately NOK1664 million in the quarter. And as we have already communicated SalMar made a voluntary offer to buy all outstanding shares in NTS also in February. And at the end of May, we announced a merger with NRS and I will return to this a little later in the presentation. And to give further details, I will give the floor to our CFO, Gunnar, who will take you through the operational and financial highlights. So, Gunnar, the floor is yours.
Gunnar Nielsen: Thank you, Linda. And as normal I will start with operational update and we will start with farming in Central Norway. Farming Central Norway, we harvested in this quarter 27,000 [ph] tonne with an operational EBIT of NOK1.2 billion. This gives us an EBIT per kg of NOK58.64. The strong salmon prices in the quarter and the solid biological and operational performance has given a record result in the second quarter 2022. The cost level is similar to first quarter and where we finished harvesting of the autumn 2020 generation with stable results. Spring 2021 generation has accounted for most of the volumes in this quarter, 75%. This generation has shown a good biological performance throughout the quarter. In third quarter, we expect higher volumes and a slightly higher cost level compared with this quarter -- second quarter. And we will continue harvesting spring 2021 and at the same start -- in the same time, start harvest of autumn 2021. The status of the biomass industry in Central Norway is good and we maintain or keep the volume guidance for the whole year unchanged at 117,000 tonne. Then we switch over to Northern Norway farming segment. In Northern Norway, we harvested 8,700 tonne in the quarter with an operational EBIT of NOK605 million and an EBIT per kg of NOK69.12 per kg. This segment delivers a result which we are very pleased with where the segment continues its solid trend and naturally strong salmon prices contributes to this record result. Harvested volumes are slightly lower compared to last year and this is due to optimizing the biological performance in sea. Autumn 2020 generation has accounted for the whole volume in this period, a generation which has shown a very strong performance. And as we have said earlier, this is due to strong biological performance and a solid operation which has given us strong growth, low mortality, good utilization of MAB and therefore, low cost. In second quarter, there has been a slight increase in cost level compared to first quarter and since we are coming from a period which -- with a very strong performance in Northern Norway, we continue to deliver a solid result and a solid cost level. We are gradually increasing the volumes harvested at InnovaNor and that is in line with our wrap up plan for the facility. The status of the biomass in sea in Northern Norway is good as in mid-Norway. And in third quarter, we expect higher volumes and at a slightly higher cost level. And as in the other regions, we maintain our volume guidance for 2022 unchanged at 58,000 tonnes. Then we switch over to sales and industry. This segment has delivered an operational EBIT of minus NOK781 million. As expected, the record strong salmon process has affected the profitability on our contracts. As earlier communicated, the contract share in the second quarter was 59% in this quarter. And this has had a negative effect due to the strong -- record strong salmon price. And as we said in the last presentation, the high contract share was due to the low harvested volumes coming out from Norway. But we are very pleased with the operational performance from our harvesting processing activities in the period. As mentioned -- as Linda has already mentioned, our employees in all our locations InnovaMar, InnovaNor, Vikenco, [indiscernible] and sales offices in Asia has made a solid performance this quarter as well. Volume going through our facilities are at the same level as in first quarter despite lower harvested volumes in Norway. And this is a result of the gradual up ramp ramping up in InnovaNor. In 2022, the level of both harvesting and VAP has gradually increased at InnovaNor. And when InnovaNor is completed and fully operational, we expect that it will deliver savings and improve value -- and improve value chain performance for fish from Northern Norway, which will provide a platform for further sustainable growth in the North and improve our results in the region. So to sum-up, we are therefore very satisfied with the operational performance of our employees. But the financial result is unfortunately weak as a result of the negative effect of our contracts. Looking ahead, we expect the contract share to be around 35% in the third quarter and for the whole year in 2022, it will be around 40%. Expect the lower contract share as a result of our expectation of a higher harvesting volumes in Norway going forward. Then we take a look at Iceland. On Iceland, we harvested 3,000 tonne with an operational EBIT of NOK135 million, which gives an EBIT per kg of NOK45.53 per kg, a record results, driven by strong price achievement and stable cost level. Low contrast share is positive for the price achievement in the period where we had a record strong spot price. In the period, we have continued harvesting of the 2020 generation, a generation which has stable biological performance and therefore also a stable cost level. Next quarter in Q3, we will continue harvesting from the same generation, but we expect a slightly higher cost level and we also expect higher volumes and volume guidance for whole 2022 is kept unchanged at 16,000 tonne. Then we turn our attention to SalMar Aker Ocean. In 2022, SalMar Aker Ocean has been reporting as a separate segment. In second quarter, the segment made an operation EBIT of minus NOK39 million. Last year, corresponding costs were included in the reporting segment elimination, while the corresponding results for last year have been included in the shown comparison figures. In the short-term, the company is prioritizing the upgrade of the Ocean Farm 1 installation and the completion of the design of the new units in SalMar Aker Ocean. When upgrade of Ocean Farm 1 is completed, the unit will be transported back to the original location in Frohavet for the start of the next production cycle, which we expect to be in spring 2023. Over the summer, important steps have been taken to have a regulatory framework of offshore in place in order to utilize the potential of the ocean. February this year, a consultation documents, establishment of a licensing regime of offshore aquaculture, which was issued by the Ministry of Trade, Industry, and Fisheries, which SalMar Aker Ocean submitted a thorough response before deadline in May this year. In July, the Directory of Fisheries announced that they will start impact assessments of specific offshore areas. In August, site location for Smart Fish Farm was approved by the Norwegian Food Safety Authority. All of these are important steps on the way for us to put in place a regulatory framework for offshore farming and our ambition to initiate investments as soon as possible, so the industry can utilize the potential we see in the ocean. We also see that a strategic partnership with Aker works very well and we did -- and that we can utilize the complementary skill sets from both party in SalMar Aker Ocean. Then our attention goes to Scottish Sea Farms, which in second quarter this year harvested 9,500 tonne with an operational EBIT of NOK190 million. And that results in an EBIT per kg of NOK20.01. Increased margins from Scottish operation, but in the in the period one has continued to harvest fish with high cost base due to mentioned biological challenges we saw second half last year. In addition to that 48% of the volume sold were on contract which affected the results in the period where we saw these strong salmon prices on spot. Integration of Grieg salmon -- Seafood Shetland into the Scottish Sea Farms continued according to -- continues according to plan and our experience so far is good. And we are already starting to see the effect from the operational and biological synergies in the combination of these two companies. Volume guidance for 2022 is kept unchanged on 46,000 tonne. Then we will, before Linda comes back, look shortly on the financials and we will start with a comparison of EBIT, starting with a with a high level comparison with previous quarter. First Norway. Norway has an operational EBIT of NOK3.51 in Q2 compared with previous quarter. As already mentioned, price achievement increased due to record high salmon prices. But negative effects from contract in this quarter impacted the price achievement compared to NASDAQ spot price in the periods. Costs are slightly higher due to the higher costs in Northern Norway compared to previous quarter and slightly lower volumes coming out in Q2 compared to Q1. If we look at group as a whole, including Icelandic Salmon and SalMar Aker Ocean, EBIT per kg has increased with NOK4.33 per kg. We see higher margins coming out from Iceland and that explains the increase. In addition, as Linda mentioned in the highlights, costs connected to lawsuits in North America has been recognized in second quarter this year. This affects the operational EBIT of the group negatively with NOK164 million or approximately NOK5 per kg. Then we will turn our attention to profit and loss. We see that revenue is higher and that is due to both higher volumes and higher prices as a result, operational EBIT is also higher. In the first half, the Norwegian production tax and research tax in Iceland came in at NOK34 million. As a result of the higher forward prices, the changes in onerous contracts is negative, while the fair value adjustments is positive. Income from associates joint ventures has increased due to improved results from the Scottish operation. The green bond of NOK3.5 billion, which was placed in April last year, together with the higher interest rate is the main cause for why the interest cost has increased to NOK101 million in first half this year. Group EBIT has increased by NOK10.70 per kg compared to first half last year. The main reason is already explained is the increase in the strong salmon prices compared to last year. And then we will look at the balance sheet where we compare it with the end of first quarter this year. Investments are progressing according to plan, which increased our non-current assets during the quarter. The standing biomass is somewhat higher compared with the close of the previous quarter and at the same time last year. In June this year, we paid a dividend of NOK20 per share. Net debt -- net interest bearing debt, including lease liabilities increased by NOK2 billion in the quarter and landed on NOK6.9 billion, including lease liabilities, where off-lease liabilities amounted to a little less than NOK1 billion. In sum, our financial position remains strong with an equity ratio of 51.5% and a NIPT over including lease liabilities over EBITDA of NOK1.5 million. This gives the company strong financial flexibilities to complete the strategic investments we're making throughout the value chain. Finally, we'll look at the movement in net interest bearing debt. We start with net interest bearing debt and lease liabilities at the end of first quarter this year with NOK4.8 billion. EBITDA in the quarter in the second quarter was NOK1.1 billion. Since the earnings have increased as a result of the high salmon prices, this gives us flexibilities to make our major investments across the value chain and in all regions. In second quarter this year, we invested NOK790 million in the value chain. The largest single investments related the construction of the two small facilities Senja 2 in North and Tjuin in Mid. In addition, we continue to invest in both maintenance and capacity increases measures in both parties of the value chain in all part -- in other parts. Then we'll look at movements in interest bearing debt. Here I would like to give you a short explanation of the changes in the net interest bearing debt and lease liabilities in the quarter. We start the net interest bearing debt and including lease liabilities -- leasing liabilities, at the end of first quarter 2022 of NOK4.8 billion. EBITDA and the period was NOK1.1 billion. Since the earnings have increased as a result of the high salmon prices, this gives us flexibilities to make major investments all across the value chain and in all regions. In second quarter this year, we invested NOK790 million in the value chain. The largest investments related to the construction of the two small facilities, Senja 2 in Northern Norway and Tjuin Mid-Norway. In addition, we continue to invest in both maintenance and capacity increases in other parts of the value chain. If we take into account what we have spent in interest and lease during the period, as well as other matters, we end up at a net interest bearing debt, including lease liabilities at the end of the second quarter of this year of NOK6.9 billion. This is an increase of NOK2 billion from the close of previous quarter. With that, I will hand you back the word to Linda.
Linda Aase: Thank you, Gunnar. In our last quarterly presentation, I talked about how one of our most important postulate is sustainability in everything we do. And in SalMar, there is a close connection between environmental, social, and economic sustainability. Production and economic growth is not sustainable over time, unless it is environmentally-related. One important KPI for us is -- in this regard is reduction of greenhouse gas emissions. And in July 2022, we had the science-based target initiative verified that our greenhouse gas targets is in line with a 1.5 C target from the Paris Agreement. For us, this means we will reduce our greenhouse gas emissions by 42% from 2020 to 2030. Both in Scope 1 and 2, which covers our own value chain and our own emissions, but also in Scope 3, which covers the value chain around us. And these are ambitious goals. And I'm not saying that this will be a walk in the park for us to achieve those goals. But it is important that we, as a company, take responsibility for reducing global greenhouse gas emissions. And it has been important for us to include Scope 3. Most of our emissions are outside our own value chain and therefore, it gives an extra weight behind or ambitions for greenhouse gas reduction, that Scope 3 is included. And only in this way, we can truly reduce the emissions in producing our salmon by working together with our strategic partners. And we know compared to other animal proteins, salmon already has a low climate footprint. But in SalMar, we have always aimed to maximize the value creation of the salmon, while at the same time having the smallest possible footprint. And therefore, the greenhouse gas target falls naturally into our strategy to develop the industry in a sustainable manner to ensure that the position of salmon is one of the most sustainable protein sources that this position is strengthened. And as you know, we have significant growth plans in both coastal and offshore farming. And our recent year, we have taken significant steps for further sustainable growth along the entire value chain in all regions. But today, I would like to talk a little bit about the status of some of the most important investments that are going on in our value chain at the moment already mentioned a bit from Gunnar. During the summer, we put the first row in Senja 2, our new small facility, which is in Northern Norway, which I had the pleasure of visiting recently. And next year, this role will turn into smart which will be released into the sea and this facility is an important piece going forward. The facility gives us greater flexibility in our small production and together with our growth plans, this paves the way for success going forward. And the same applies to InnovaNor, our new harvesting and processing facility, also in beautiful Senja in the Northern Norway. In the first half of this year, we have gradually stepped up in the activity at the plant and in the second half, we will further increase the volume for both harvest and value-added processing. Both investment in Northern Norway are good examples of how we think. Flexibility and control of our salmon from the time it is row, when it's to -- when it's ready for the dinner plate. By having this in place, we can take the right actions at every step of the value chain to ensure the best results. And in Iceland, they have also made some important move during the summer. Through the purchase of a stake in [indiscernible], we further increase our small capacity and this gives us again flexibility and capacity to optimize our production and facilities in the growth plants we have in the Westfjords of Iceland. And offshore, we work continues -- continuously and tirelessly as Gunnar already mentioned. Ocean Farm will be ready for new production cycle by spring in 2023. And at the same time, our work is going on for new units and we have ambitions -- ambitious growth in our plans going forward. But facilities and units are wanting to be successful in the value chain. It is the salmon and our employees that are the key. And during my first time as CEO in SalMar, I've learned to know the unique competency, passion, effort, and culture of our people in SalMar. So, I would really like to say thank you dear employees in SalMar. Thank you, each and every one for the hard work, your effort, your passion you put in every single day. You shall know that you make a difference and you should be proud of the work you do every day. And then in good SalMar spirit, there is a great motivation to constantly work to improve and constantly break new records. And together, we will work to strengthen ourselves further in the years ahead. And then to our offer in NTS s and the offer in NTS and the merger with NRS paves the way for accelerating the synergy effect in the overall forming activities in NRS, including SalmoNor and SalMar. And the companies are already today some of the most important value creators and creators of jobs in the coastal municipalities in Central and Northern Norway, from Merlot to the Russian border, and investors in -- of Iceland. And these are companies that fits well together both industrially and culturally. And in some this constitute a fantastic starting point for building something even stronger together. And the merger plans with NRS represent the strengthening of the strategic rationale for SalMar's offer for MTS where the companies are more quickly into a position to improve and optimize all parts of the value chain. And the merger will provide increased power and value creation potential across the overall business from hatchery and production to processing and sales of the international market and it's precisely these effects that make SalMar and NRS to merge together. And we believe this will clearly be good for both people and the SalMar. Together we can build something stronger and exploit the potential that lies in the combination of the company. And this is in some of the world's best three years for production of salmon. And at the same time, we are looking forward to really, really exploit the potential with all the dedicated and competent employees in NTS, NRS, SalmoNor, and Frøy. And as you have realized we have great faith in developing something even stronger together. And to summarize what this is about; this plan really says a lot about what will happen. NRS carries out the previously agreed SalmoNor transaction and SalmoNor -- and SalMar and NRS then merge together. And in addition SalMar voluntary offer at NTS is carried out. And after the transaction, the new SalMar will thus include all farming activities in NRS, SalmoNor, and NTS and will be a subsidiary of SalMar with a large ownership stake in Frøy and shares in SalMar. And the new company will simply become an attractive company with large growth plans, both coastal and offshore, which means that we can say that there will be exciting times ahead. So, a little bit more about the details after the payment of dividends to shareholders in SalMar, the remuneration in both the voluntary offer and the merger has been adjusted. In both transactions, prospective shareholders will be awarded cash and SalMar shares in settlement for their shares. And based on the acceptance rate of the voluntary offer and completion of the merger, this means that approximately 27.3 million new shares will be issued in SalMar, with authorization given by the respective extra ordinary general meetings that have been held, and a total of NOK6.8 billion will be paid as cash consideration to the shareholders in NTS and NRS. And given that the consent condition for the bid are fulfilled or waived, settlement will be able to take place no later than two weeks after this has been announced. And with regards to the timeline for one, these conditions can be fulfilled or waived, well, this is still uncertain. But as we announced in July, we have received approval from the Norwegian competition authorities and so we will inform the market as soon as we know more. And following the completion of the voluntary offer, a cash offer will be made for the remaining outstanding shares in NTS in accordance with applicable legislations. And this process will not change our financial strategy. So, last but not least, outlook. And I would like to conclude this quarterly review by looking forward to the outlook. And as previously mentioned, we aim to continue building a strong foundation in SalMar. We will continue to focus in on ensuring that people and our precious salmon. Based on this we will continue our strategic investments for further sustainable growth on land, along the coast, and offshore with unlimited strength, and our job will be to take the necessary steps to strengthen us today and be even better tomorrow. As Gunnar not already has mentioned, we expect a higher volume and somewhat higher cost level in the third quarter compared to the second quarter of this year. We expect somewhat higher costs as a result of the fact like everyone else, we also notice cost inflation on a number of factors. And therefore it is important for us to maintain our strong cost focus. If we succeed with our biology, we also we'll get the lowest possible cost. And our contract here is 35% for the third quarter and for the whole of 2022, the contract share is around 40%. And when it comes to volume guidance, it will remain unchanged in all regions. And in SalMar, we are optimistic about the future. And recent events have shown us how strong the salmon market is. And we expect that the global supply of salmon will remain at the same level in 2022 as in 2021. So, well, this is all for this time and I would like to thank everyone who has participated and watching via our webcast. And the next quarterly presentation will be the 10th of November. And until then, enjoy the end of the summer and the autumn and remember, eat a lots of salmon.
End of Q&A: